Operator: Good morning, everyone, and welcome to Strayer Education Inc.’s First Quarter 2016 Earnings Results Conference Call. This call is being recorded. For those of you who wish to listen to the conference via the Internet please go to strayereducation.com, where the call will be archived. With us today to discuss the results are Robert Silberman, Executive Chairman for Strayer Education; Karl McDonnell, Chief Executive Officer; and Daniel Jackson, Executive Vice President and Chief Financial Officer. Following Strayer’s remarks, we will open the call for questions-and-answers. I would like to remind everyone that today’s press release contains and certain information on this call may contain statements that are forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act. These statements are based on the company’s current expectations and are subject to a number of assumptions, uncertainties and risks that the company has identified in the paragraph on forward-looking statements at the end of its press release and that could cause the company’s actual results to differ materially. For information, about these and other relevant uncertainties may be found in the company’s Annual Report on Form 10-K and its other filings with the Securities and Exchange Commission. Copies of these filings and the full press release are available online and upon request from the company’s Investor Relations department. And now, I would like to turn the call over to Robert Silberman. Mr. Silberman, please go ahead.
Robert Silberman: Thank you, Operator, and good morning, ladies and gentlemen. We’re going to begin this morning with Karl, discussing our company’s first quarter operating results, and Dan will report our financial results for the quarter. And then we’ll stay as long as you need for questions. Pretty straight-forward quarter and we look forward to chatting about it. Karl?
Karl McDonnell: Thank you, Rob. Good morning, everyone. First, I’d like to make a couple of comments on our first quarter financials that we released earlier this morning. Both our revenue and our revenue per student declined 1% from the prior year which was in line with our expectation. We said last year that we expected a slight decline in revenue per student in 2016 and that moving forward the change in our revenue would more closely track our change in total enrollment. That was the case, this quarter we expect that will be the case throughout the year. On the expense side, we continue to be as disciplined as we can but there were a number of moving items this quarter. We were up about 10% in marketing which really just reflects the fact that we have many more growth initiatives underway, all of which require additional marketing dollars such as Jack Welch Management Institute and Strayer@Work and the New York Code and Design Academy. The 3% decline in I&E reflects both savings that we had in bad debt but also some efficiencies that we were able to generate in our class scheduling methodology. Dan will provide more detail in a moment but G&A was down about 11% due to a one-time approximately $1.6 million lease loss adjustment as we were able to sublet some of our corporate office space. Excluding this adjustment, our EPS is $1.06 per share. Turning now to our operating results for the spring academic term, our total enrollment increased just under, 1% as continuing enrollment grew 2% and new student enrollment decreased 7%. We were very pleased that our continuation rate increased 150 basis points and now we’re into our third consecutive year of annual improvements in student retention. Regarding new students, all, of the decline was in Strayer University’s unaffiliated undergraduate student segment which declined roughly 13%. Our affiliated new students meaning students from national accounts but also now Strayer@Work grew 20%. And total enrollment for affiliated students grew 12% reflecting the continued strength in our B2B relationship. And while we acknowledge the slight deterioration in new student performance in the second quarter compared to the first, going down 5% in the first quarter to down 7% in the second quarter, we believe the performance is part of what we have described as the natural volatility that occurs when people are contemplating returning to college. Our belief is that as Strayer@Work and other national account activities continue to perform well, the unaffiliated student segment will become a smaller and smaller part of future new student cohorts. Finally, a couple of quick updates on the New York Code and Design Academy, we were pleased that within the last quarter, we received state approvals in New York, that approval was required as part of the transaction but also approvals in Texas and Georgia. And as a result, NYCDA will plan to offer their web and mobile app development boot-camp at Strayer University facilities in Austin, Texas as well as one of our campuses in Atlanta beginning in July. We have also submitted license applications in 11 other states and we expect to receive those approvals over the next 6 to 12 months. Dan, you want to walk through the financials.
Daniel Jackson: Sure, thank you Karl and good morning everyone. I’ll start with revenue, which for the first quarter was $111.2 million, down 1% from last year and as Karl mentioned, the decrease was driven by lower revenue per student which was down just under 1% partially offset by slightly higher enrollment growth for our winter term. Our income from operations was $20.1 million for the quarter compared to $19.9 million for the same period last year. Income from operations in the first quarter of 2016 and 2015 includes non-cash adjustments to our liability for losses on facilities we ceased using during the fourth quarter of 2013. Excluding these items, income from operations was $18.5 million for the first quarter this year and $19.7 million last year. Our operating margin was 16.6% for the quarter compared to 17.6% in 2015 when excluding the non-cash adjustments. Bad debt expense was 2.8% for the quarter compared to 3.1% for the same period last year. Our lower bad debt reflects stable payment behavior among existing students as well as our improving ability to collect on previously written-off accounts. Net income for the quarter was $12.4 million compared to $11.4 million in 2015. Excluding the non-cash adjustments net income was $11.4 million this year and $11.3 million last year. Net income this quarter was helped by lower interest expense resulting from the payoff of our term loan in the third quarter of last year as well as a slightly lower tax rate which was about 38% for the quarter due to the timing of a few state tax benefits. We continue to expect a full-year tax rate in the range of 39% to 39.5%. Earnings per share, was $1.15 for the quarter compared to $1.06 for the same period in 2015. Excluding the non-cash adjustments, EPS was $1.06 this year compared to a $1.05 last year. We ended the quarter with $117.5 million of cash and no debt. We generated $14.7 million in cash from operations during the quarter compared to $30.7 million in 2015. The $16 million reduction to our cash from operations was the result of three primary drivers, first; $9 million was due to unfavorable timing of payroll rent and cash tax payments in the quarter and the impact of our lease loss adjustment. $5 million was a portion of our initial $7 million payment to the sellers of the New York Code and Design Academy, which we’re treating as a compensation arrangement in loss operating cash flow due to the inclusion of a management callback feature in our acquisition agreement. And about $2 million is due to what I would characterize as normal variability in working capital. About half due to slower payment on some of our new Strayer@Work contracts and the other half related to growth and redemption of graduation fund credit. Notwithstanding the confluence of unfavorable cash flow events in the first quarter, the fundamentals of our historically cash generative model remain largely unchanged. And for the full year we expect distributable cash to exceed net income as it has in the past. And regarding capital expenditures, we spent $2 million during the first quarter compared to $2.8 million in the same period of 2015. The lower CapEx for the quarter is due to the timing of our projects this year and we continue to expect full-year CapEx to be up slightly from last year in the range of 3% to 4% of revenue. Finally, we continue to maintain $150 million in available credit on our revolver. Rob?
Robert Silberman: Thanks Dan. Just one note on Karl’s advanced comments. When you think about owners’ economics as opposed to GAAP reporting, in the first quarter our actual owners’ economics were slightly worse than the GAAP income statement would suggest due to the positive impact of the lower interest expense and lease loss adjustments. However, on cash flow, our owners’ economics were better than what the GAAP statement suggests for the reasons Dan outlined, I think the most important of which is the categorization of our investment in New York Code Academy as a reduction in operating cash flow versus an investment. And so, they kind of balance out little bit worse than income statement, little bit better, I think significantly better than what the cash flow statement says. And with that operator, we’d be pleased to answer any questions.
Operator: [Operator Instructions]. Our first question comes from Jeff Silber with BMO Capital Markets. Your line is open.
Jeff Silber: Thank you so much. Actually I wanted to focus on the distributable cash. Obviously it’s moving in the right direction again which is great to see. Can you just refresh us on your plans regarding capital allocation?
Karl McDonnell: Sure Jeff. We look at it every quarter as a board and we have a fairly disciplined set of analysis we go through. Our first priority which is based on what we perceive to be the highest return on owners’ invested capital is to invest in the core business in areas where we can accelerate its growth and create both high academic and high financial return projects. We haven’t done a lot of capital investment in terms of expanding campuses over the last three years for the reasons that we’ve outlined. And at this point I’m not sure we see significant changes in the macroeconomic environment that would suggest that we would be opening a lot of Strayer University campuses. The second thing we’d like to do is look for again high return investment opportunities. Over the last I’d say 24 months, that market has looked more attractive to us than it has in the past. And I think the investment in New York Code Academy is probably the best example of that. And we could see some capital investment associated not just with the expansion of Code Academy, both other acquisition opportunities that we may come across. As I wrote my letter to shareholders, we’re particularly interested in relatively higher growth education and training opportunities and ones which diversify us away from Title IV revenue for reasons that I think the recent history would support. And then, in the absence of either investible opportunities within the business or acquisition opportunities, our plan is always to return capital to owners in the most value enhancing way. And at this point, we have not been a returner of capital over the last couple of years. We have seen some pretty significant I think opportunities like the Code Academy that we’ve been focused on. But we don’t consider ourselves indefinite holders of our owners’ capital. If we can’t use it, we’ll return it.
Jeff Silber: Okay, fair enough. I appreciate that. Just moving back to your operating performance, you mentioned the 13% decline in unaffiliated new students. Can we get a little bit more color on that, were there certain areas that were weaker than others?
Karl McDonnell: Jeff, not really. The unaffiliated new student segment, what we said in the past is this is a segment of student who historically comes to us with no prior college experience traditionally. They seem to be very sensitive to economic conditions around us. And while we’re not in a period of severe economic distress, we’re also not in a period of great prosperity particularly for that segment of students. And so for years, going back five plus years, that particular segment of students has bounced around quite a bit and it’s well within the range that it has been. Couple of years ago when we started to really focus on furthering our national account work and standing up Strayer@Work, it was to begin to build cohorts of new students who traditionally have performed exceptionally well academically, very strong retention and so forth. And that seems to be working. We’re just under 1,000 students with FCA and Degrees@Work, Fiat Chrysler. And our affiliated national accounts students, has outperformed the broader university for going on three years in that channel. So we expect the unaffiliated channel to sort of remain consistent with its historical trend. But as I said in my prepared remarks, we also expect that that’s going to become a smaller and smaller set of each new student cohort that moves forward.
Jeff Silber: And how large is your total national account program now?
Karl McDonnell: It’s about 330 companies Fortune 1000 companies. And on average we get probably five to 10 new agreements every quarter.
Jeff Silber: And we measure it as a percentage of students?
Karl McDonnell: And total enrollment, it’s probably around a third, it’s approaching half of every new student cohort that we have.
Jeff Silber: Okay, that’s very helpful. Thank you so much.
Karl McDonnell: Sure.
Operator: Thank you. Our next question comes from Sara Gubins with Bank of America. Your line is open.
David Chu: Hi guys, this is David Chu for Sara. Can you just update, us on I guess start trends by degree vertical for the first quarter?
Karl McDonnell: Well, if you mean just undergrad and grad, JWMI was up 30% in its enrollment. Overall Strayer University meaning non-JWMI graduate students was flat. And so the decline was really as I said in the undergraduate segment.
David Chu: Okay, got it. And then, even adding for the contract expenses for losses on facilities, it looked like costs were down year-over-year in the first quarter. Do you still expect expenses to be up 1% to 2%?
Daniel Jackson: Yes and when we made the comment about expenses being up 1% to 2% that excluded any of the investment that will need to make to support the growth of New York Code and Design Academy. So, I think that’s still fair for the core university, 1% to 2% expense growth. And then as we invest to expand NYCDA, we’ll obviously report that in our consolidated financial statements and we’ll comment on it at the time.
David Chu: Okay. And I’m sorry if you mentioned this. But in regards to Strayer@Work, how many students are now enrolled and how does that compare to a quarter ago?
Karl McDonnell: It’s, as I said, it’s just under 1,000 total students. We don’t really have a comparable from a year ago, so it’s all growth. And we expect that that’s going to continue to grow each quarter.
David Chu: And has this been launched nationally?
Karl McDonnell: Yes.
David Chu: And how long ago was the launch?
Karl McDonnell: It’s been launched nationally for just over a quarter. And it’s going to have a natural maturation over some number of years. I can tell you the feedback has been very strong. The students perform well. The retention rates are significantly higher than our average students. The net promoter scores the highest in the university, higher even than the Jack Welch Management Institute which historically has been our highest NPS score. So, we couldn’t be happier with that program.
Robert Silberman: And to be clear, Karl’s referring specifically to the Chrysler program. We have other smaller Strayer@Work programs. And we’re in pretty heavy dialog to try and expand those and add to those as well.
David Chu: Okay, great. Thank you very much.
Robert Silberman: Sure.
Operator: Thank you. Our next question comes from Corey Greendale with First Analysis. Your line is open.
Corey Greendale: Hi, good morning.
Karl McDonnell: Good morning Corey.
Corey Greendale: First, I apologize this is a little bit of a medial question. But could you give me a quick glossary on I want to make sure I’m understanding the difference between the terms national accounts affiliated and Strayer@Work?
Karl McDonnell: Sure. When we use the term affiliated what we’re referring to is students who are coming to us from a national account, a community college articulation agreement and now Strayer@Work. Historically it would not have included Strayer@Work but that’s just because the entity didn’t exist. To Rob’s point, we expect over time, we could potentially have thousands of students coming to us from Strayer@Work and Degrees@Work type programs. And so that’s going to obviously become a meaningful part of our new student cohorts moving forward. Unaffiliated by definition then are students who are not coming to us through an articulation agreement. We don’t have an agreement with their employer and they’re obviously not a part of Strayer@Work in any way.
Robert Silberman: Corey, think of it as wholesale versus retail or B2B versus B2C, I mean, it’s the same concept.
Corey Greendale: Okay, that helps. And our community colleges include within national accounts?
Karl McDonnell: It’s not included within national accounts but it is included when we’re using the term affiliated students. National accounts, refers to the 330 agreements that we have with these companies. And when I say the national accounts, has outperformed the broader university, I’m speaking specifically to the employees of these 330 or so employers.
Corey Greendale: Okay, that helps. Thank you. And then the New York Code and Design Academy, what was the revenue contribution from that in Q1?
Karl McDonnell: We’re not breaking that out yet Corey, we’re just going to report it as part of our consolidated financial statements.
Corey Greendale: Yes, I’m just trying to get a sense of what happens if revenue per student excluding that is just totally immaterial?
Karl McDonnell: Yes, I mean, it’s down about 1%, there was a slightly less tuition per see just based on the mix shift of slightly more undergraduate students. But we have better drops offsetting that. So, all-in-all, the 1% decline is roughly right.
Robert Silberman: I mean, we only had, there was only a few hundred students in the term that Code Academy Corey. So I mean, it’s a positive impact but I wouldn’t describe it as material.
Corey Greendale: Okay. And then, I had a question for Dan if I could. I understand what you’re saying about the cash flow statement treatment of the consideration for NYCDA. Is there anything unusual about the income statement treatment or is there a competition kind of spread evenly as they’re working?
Daniel Jackson: Yes, no, it’s consistent with what we said before Corey. For the year we’re still looking at roughly 20% to 30% - $0.20 or $0.30 of dilution, half and half operating half, the accounting treatment of the acquisition, so which is non-cash.
Corey Greendale: I think my last question is on the marketing spend increase. Can you give us some sense of how much of that is focused on the affiliated channels or are you spending more that you mark into the unaffiliated as well?
Karl McDonnell: The increase really Corey was driven to expand marketing across not just Strayer University but as I said specifically to support efforts like the Jack Welch Management Institute, Strayer@Work and we’re starting to do branding work for NYCDA now in anticipation of international rollout. We’re always looking at ways to build brand, we’re always looking at different channels within which to advertise. Sometimes you can get synergies between the core universities and say Strayer@Work. But we’re not I think to answer your question directly, doing anything specifically to market to a particular part of an unaffiliated channel, that’s just through our brand building, and as people become aware of Strayer University that’s where that brand building will go.
Corey Greendale: And sorry, actually I got one more, I think Rob answered to one of I think it was Jeff’s question here, I could be misremembering. But you said something about looking for acquisitions that kind of diversify ways on Title IV, which makes sense. We’re hearing similar things from probably most of public companies in this space. Are you seeing more kind of competition for those things?
Robert Silberman: We haven’t been that active an acquirer over the last 15 years so I’m probably not the best judge of how competitive that market set is. But we have a pretty narrow aperture we’re looking at. I mean, we want education and human workforce improvement type businesses that are characterized by great learning outcomes and strong management teams with a cultural fit. And I would say that that’s not the broadest target set which is one reason why the acquisitions have been relatively few and far between. I mean, the biggest one before this had been our partnership with Jack Welch and the Jack Welch Management Institute. The next one was - which obviously is a Title IV supported entity. But given Jack’s tremendous reputation and our ability to source students that have their own sources of credit has significantly reduced Title IV exposure in that area. Next one obviously Code Academy, for which there is no Title IV, so it’s growth will be totally non-Title IV. And the other entities that we’re looking for will have similar characteristics but I assume that there is, the kinds of deals we’re going to do are with people who specifically want to be acquired by Strayer Education because of our reputation and cultural background and in the kinds of things that drive us. And there may not be a lot of them but we help the ones who have very high quality.
Corey Greendale: All right, great. Thank you, that helps.
Robert Silberman: Thanks Corey.
Operator: Thank you. Our next question comes from Peter Appert with Piper Jaffray. Your line is open.
Peter Appert: Thanks, good morning. I’m just wondering if you could talk a little bit about any initiatives you’ve got underway, if there are some specific things to talk about in terms of trying to stabilize the unaffiliated enrollments.
Karl McDonnell: Well, our approach to new students is to focus on building a brand so that when people are contemplating returning to college, as part of their due diligence, they’re going to consider Strayer University. The specific initiative, that we’re focused on really revolve around our affiliated channel, that’s one where we’re actively trying to grow and build. And that’s really a two-pronged approach. It’s deepening the relationships that we have with national account and that means expanding the numbers of arrangements we have. And also the numbers of students that we get from each individual one, and there is a lot of work that goes into that activating those relationships at a deep level. And we think we’re aided in the fact that we have 78 physical locations. And within those communities our campus staff members are able to network and make relationships at a local level with these various employers. So that is a big part of what we do. The other thing is obviously Strayer@Work. We created what we consider to be a pretty groundbreaking program with Degrees@Work. We have Fiat Chrysler automotive as the first customer. We expect it over time will have thousands of students from that relationship. So in terms of specific initiatives that’s where our management team is focused. In terms of unaffiliated students, we obviously welcome them, we want to do a good job educating them to the extent that we’re building brand and advertising it may or may not reach them. But in terms of a specific initiative to try to get more unaffiliated students we’re actually doing the opposite. We’re trying to build the affiliate channel to be as big as we can get it.
Robert Silberman: But I would say, Peter, just one other thing is that, ultimately the thing that’s going to draw students is academic performance. So, a fair amount of our investment is in constantly improving the academics and learning outcomes which is one reason why the increasing continuation rate and ultimately graduation rate, we see is such a positive event. That I expect will ripple through reputation and I think it’s positive on the unaffiliated side for the types of students that we want to attract.
Peter Appert: Right, no, understood. So I guess, then, the arithmetic is that you continue to see very positive growth in the affiliated students to the extent that it’s now half or more of your starts that offset the decline in the unaffiliated. But this mix shift is basically going to continue, I think is the message.
Robert Silberman: Well, we hope the mix shift continues to more affiliated students. We expect that that will be the case. And we also expect that there will be quarters where the unaffiliated segment grows, that’s happened in the past.
Peter Appert: Right. I’m sorry. Go ahead.
Robert Silberman: No, I was just going to say, the longer trend line will be to more affiliated new students and fewer unaffiliated students.
Karl McDonnell: Although I would say I think it’s somewhat macroeconomic dependent. You get back to a situation where you have a higher level of baseline employment, greater consumer confidence, for 120 years we’ve done pretty well with unaffiliated students. So, I wouldn’t see them going away. In the current macroeconomic environment, there is no question that the affiliated is the stronger source for us.
Peter Appert: Well, I guess it is just a certainly interesting observation on the arithmetic. To the extent that the affiliated students represent, I think you said, half or more of the new student cohort at this point, maybe we’re close to that tipping point where the growth there should fully offset the decline on the affiliated - excuse me, the unaffiliated students, which would get us to more consistent positive starts.
Karl McDonnell: Yes, and just to clarify, I said the mix was approaching half of the new students, it’s not that it’s over half. And I can’t predict obviously future enrollment but I can tell you that our plan is that that will be the case. The primary contributor to new student growth would be the performance of our affiliated channel.
Peter Appert: Got it. And then, on the Code Academy, I’m wondering if the rollout - the national network, if there are some fairly meaningful cost implications associated with that. Is there significant - should we anticipate significant start-up cost since you enter new markets?
Karl McDonnell: No, the start-up cost will be quite low. For the most part we’ll be using existing Strayer University facilities meaning our campuses it requires virtually no change to the footprint. Really the only start-up expenses are handful of people that are needed to teach the courses, maybe an administrator. So the start-up and operating expenses are actually pretty low.
Peter Appert: Thanks.
Karl McDonnell: Sure.
Robert Silberman: Thank you, Peter.
Operator: Thank you. [Operator Instructions]. Our next question comes from Trace Urdan with Credit Suisse. Your line is open.
Trace Urdan: Thanks. I have another housekeeping question following Jeff’s question. So when you say that Strayer@Work students are included in affiliated, does that mean non-degree seeking students as well?
Karl McDonnell: No, good question Trace. It means students who are enrolled in Strayer University in a degree program. There is other revenue at Strayer@Work that is non-degree I’m not including that in those comments.
Robert Silberman: But it does help on revenue per student, yes, that’s clear, yes.
Trace Urdan: Yes. And then, I guess, the NYCDA students will kind of fall into that same category. They won’t be reported as students, but obviously we’ll see the revenue?
Robert Silberman: Yes, correct.
Trace Urdan: Are you guys thinking about maybe starting to tease out non-degree revenues at some point as material?
Robert Silberman: Only to the extent that it would be material. And at this point it isn’t.
Trace Urdan: Okay. Fair enough. Karl, I had the pleasure of seeing you present at the GSE conference. Very cool slides.
Karl McDonnell: Thank you.
Trace Urdan: But one of the things you talked about was kind of upgrades to your content, and you haven’t really talked about that very much in these investor calls. And I wondered if you could just sort of speak to that where you are in that process, how relevant you think it is for your business going forward, whether it might actually be a driver at some point for demand? Can you, yes, sure.
Karl McDonnell: Yes, thank you. It’s a big part what we’re planning for this year. So, we’re into a multiyear effort to really focus on outcomes and retention. And we started down a three-pronged strategy Trace really. And the first one was just really getting better at adaptive learning. So being able to deliver highly personalized interventions to people particularly early on in their first year where their vast majority of attrition happens over a cohort’s lifetime. So, we’ve been pretty successful at that. We’ve talked a lot I think about our use of predictive analytics that was a game-changer for us too. We were able to really hone-in on what drives both faculty engagement and student engagement and that’s been a big driver of the retention gains that we’ve had. The third and final prong of that is to try to reinvent online learning really. Online learning tends to be boring, dull in some cases. And so we’re creating an internal, what we’re calling studio but it’s really a, it’s part filmmakers, part instructional designers, part faculty subject matter experts to really redefine what an online course is to use more short-form documentary, non-fiction storytelling. Because what we know from our experience with adaptive learning, if students will just take the time to interact with the material they by and large are very successful. The problem is the material has not sort of kept up, the quality and engagement of the material has not kept up with the advancement and analytics in adaptive learning. And we’re trying to address that by really creating very immersive content. We’ve done a couple of courses as tests and the results have been really positive. We’ve seen retention gains in excess of 500 basis points when we run these tests so we think that there is a lot of opportunity here. And it will be the primary focus of our academic leadership team over the next 12-18 months to take every one of our high-volume courses and build it with this sort of storytelling arch. And really try to redefine what an online course even is.
Trace Urdan: It doesn’t sound cheap. Is there some impact on your CapEx that we might see as you sort of embark on this?
Karl McDonnell: It will all be part of what we expect to be our normal, spend on CapEx. We think we’re going to be able to produce these courses in a very economical way. And when you’re leveraging talent across 10 or 20 even 30 very high volume courses, the actual cost per course is not that significant. And so, we’re just looking forward to getting them rolled out.
Robert Silberman: Our CapEx is up about 50% over last year.
Daniel Jackson: In the quarter it’s not, it’s actually down. But for the year we still expect higher CapEx Trace than last year by a few million dollars.
Robert Silberman: Most of which is associated with the Strayer Studio. So it’s a good question Trace.
Trace Urdan: Okay. And then, last question, is there any way that we can see some of this stuff online somewhere?
Robert Silberman: You can certainly enroll.
Trace Urdan: Yes.
Karl McDonnell: When we get to a point where we’re going to roll one out, we’d be happy to do a demonstration for you Trace. Happy to let you kind of see what we think the course could look like. The teams working on the first one, it’s an introductory business course. It’s kind of let’s say it’s in their early 10% done range. But we’re hoping to have it done before the end of this year and time for our fall term. And we’d love to give you a demonstration of it.
Trace Urdan: Okay, excellent. Thank you very much.
Karl McDonnell: Sure.
Robert Silberman: Thanks Trace.
Operator: Thank you. I’m showing no further questions. I would like to turn the call back to Robert Silberman for closing remarks.
Robert Silberman: Thank you, operator. And thank you ladies and gentlemen. We look forward to talking to you again in July. And of course if you have any other questions, please contact Karl, Dan or myself. We’re happy to discuss the quarter. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. And you may all disconnect. Everyone have a great day.